Operator: Good morning, ladies and gentlemen and welcome to The Hillman Companies Conference Call to discuss First Quarter 2021 Results. At this time, all participants are in a listen-only mode. Hillman will not be fielding any questions on today’s call in light of its recently announced planned merger with Landcadia Holdings III.  I would now like to introduce your host for today’s conference, Nick Ruffing. You may begin.
Nick Ruffing: Thank you, Operator. Good morning and thank you for dialing in to the Hillman Group’s conference call to discuss first quarter 2021 results. I am Nick Ruffing, Vice President of Finance and on the line with me today is Doug Cahill, our Chairman, President, and CEO; Rocky Kraft, Chief Financial Officer.
Doug Cahill: Thanks Nick. Good morning, everyone. We had an exceptional start to 2021 with sales and adjusted EBITDA each up 15% in the first quarter, reflecting continued strong demand for our hardware and home improvement products in the U.S. and Canada. This performance demonstrates the strength of Hillman’s operating model and all-around exceptional execution by our in-store sales, service, and supply chain teams that is our competitive moat and truly differentiates us in the marketplace. Today, I am going to cover four themes that underpin our current optimism about Hillman and the exciting opportunity ahead of us to continue growing by helping our retail customers win and when our customers win, we win. First, we are not your everyday distributor. We are a full-service supplier of a complex array of SKUs that are critically important and valuable to our customers. This is our competitive moat and it starts with service, service and service. Second, the exceptional innovation, commitment and delivery of our sales, service and supply chain teams during the pandemic has further strengthened our relationships with our key retail partners and helped us win new business and gain market share. Third, we are seeing a continuation of the favorable tailwinds that began during the pandemic and a normalization of our business mix as vaccines rollout and the pandemic recedes. This is driving better than expected growth in our flagship Hardware Solutions business in both the U.S. and Canada and our Robotics & Digital Solutions business is rebounding faster than expected. On the flipside, working together with our retail partners, we are transitioning away from sales of COVID-related Personal Protective Equipment, or PPE sooner than we expected.
Rocky Kraft: Thanks, Doug. On a GAAP basis, our sales in the first quarter of 2021 were $341 million, an increase of $45 million, or 15.4% versus the prior year quarter. The growth was primarily attributable to strong hardware sales, particularly in our construction fastener category, along with strong sales of protective solutions driven by high demand for gloves and masks. Our Robotics & Digital business was flat for the quarter as it recovered to pre-pandemic levels.
Operator: Thank you. Ladies and gentleman, this concludes our call today. Thank you all for joining the call and for your continued interest in Hillman.